Operator: Good afternoon, ladies and gentlemen, and welcome to the Nanalysis Scientific Corp. Fourth Quarter and Full Year 2022 Conference Call. [Operator Instructions] I would now like to turn the conference over to Matthew Selinger, Investor Relations. Please go ahead.
Matthew Selinger: Thank you, operator, and welcome, everyone, to the Nanalysis Scientific’s fourth quarter and full year 2022 conference call. Before we begin, I would like to remind everyone that our remarks and responses to your questions today will contain forward-looking statements that are based on current expectations of management. These assumptions involve inherent risks and uncertainties that could cause actual results to differ materially from our responses. Certain material factors and assumptions were considered and applied in making the forward-looking statements. These risk factors are included in our filings for the year ended December 31, 2022. Forward-looking statements on this call may include, but are not limited to, statements and comments with respect to future growth of the company’s business, the ability to graduate to a senior exchange, the company’s acquisition strategy, the ability to develop future products and the possible associated results. The company’s actual performance and financial results in the future could differ materially from any estimates or projections of future performance implied by the forward-looking statements. The forward-looking statements made on this call speak only as of today, and Nanalysis Scientific assumes no obligation to update any forward-looking information as a result of new information, future events or otherwise, except as expressly required by applicable law. For additional information, I encourage everyone to review our public filings and press releases, which are posted on the SEDAR filing system at www.sedar, which is sedar.com. So on the call with me today, are Nanalysis Founder and CEO, Mr. Sean Krakiwsky and Nanalysis CFO, Mr. Randall McRae. And with that, I would like to turn the call over to Nanalysis CFO, Randall McRae. Randy?
Randall McRae: Thank you, Matthew. It’s a pleasure to join and interact with everyone on the call today. I’ll first dive into the financial results for the quarter ending December 31, 2022, and then move into the full year 2022 results. All amounts referenced are in Canadian dollars. Financial highlights for the 3 months ended December 31, 2022, include that I’m happy to report for the 3 months ended December 31, 2022, we reported consolidated revenue of $7.2 million, an increase of $2.1 million or 42% from the comparative period in 2021. This includes $5.9 million in product sales and $1.3 million of service revenue related to airport security services. Gross margin on product sales was 36% for the 3 months ended December 31, 2022. This was the result of an increased manufacturing workforce whose associated wages and training costs began impacting margins in the second half of the year. As this workforce gains experience and sales continue to grow, management expects margins to improve. Also, the company incurred additional warranty expenses related to the replacement of several instruments that require greater than normal levels of customer service intervention. This is not expected to continue going forward. Service margins in the quarter were 42% as the company accelerated its training schedule for the CATSA project and began expensing wages related to airports that were in service. Wages related to airports not yet in service continue to be deferred to prepaid expenses. Management expects service margins to improve significantly as the CATSA airport security project is phased into full capacity. Loss or income before other items for the 3 months ended December 31, 2022, was a loss of $2.5 million versus an income of $400,000 compared to the same period in the prior year. The company reported net loss for the 3 months ended of $3.3 million as compared to a 3-month loss for December 31 of $658,000. Turning to the full year ended December 31, ‘22, the company reported consolidated revenue of $24.8 million, an increase of $8.8 million or 55% versus the comparative period in 2021. This includes $21.6 million in product sales and $3.2 million of service revenue related to airport security services. Gross margin on total sales was 45% for the 12 months ended December 31, 2022. This was the result of increased cost of personnel for the CATSA airport securities project, increased personnel and training; and Nanalysis manufacturing group to increase manufacturing capacity and an increase in cost due to worldwide supply chain constraints and inflation. We do expect margins to improve as continued investments in manufacturing improvements continue, sales levels increase and the CATSA airport security project phases into full capacity. Loss or income before other items for the 12 months ended December 31, 2022, was a loss of $3.9 million versus an income of $1.9 million compared to the same period last year. Net loss for the 12 months ended was $9.9 million compared to a net loss in 2021 of $1.8 million. The company had cash on hand of $3.5 million, an undrawn available credit facility of $3.9 million, working capital of $8.4 million, an undrawn government contribution funding of $3.5 million at December 31, 2022. Subsequent to the quarter, on April 21, 2023, the company announced a $3.5 million private placement. As mentioned in the press release, the intention of the $3.5 million private placement is to bolster the company’s balance sheet as it enters the final phases of the CATSA project rollout. We expect the CATSA project to continue to consume cash until the fall of 2023 at which time we expect it to be cash flow positive. This is the main reason why we recently announced a non-brokered private placement, which has been fully subscribed. I’d like to take a moment here and discuss our working capital and cash management going forward in 2023. When we entered into our current operating credit facility with a major Canadian bank, it was based on the current business at hand without consideration of the capital requirements and timing of the CATSA project. We’re exploring options available to us with regard to debt facilities that better suit the cash flows of this project. With these additions and changes, we feel a strong financial base will be the foundation for Nanalysis of future growth. With that, I’d like to now turn the call over to our Founder and CEO, Sean Krakiwsky.
Sean Krakiwsky: Thank you very much, Randall. Firstly, I’d like to convey that Randall has been with us now for roughly 9 months and is doing a tremendous job for our company. I will give a brief overview of the past year’s accomplishments and address some more recent company developments. 2022 was a transformational year for Nanalysis. We were able to accomplish quite a bit towards becoming a fully vertically integrated scientific instrumentation company. We started the year in January with the closing of KPrime acquisition, North American and sales service organization, which led to a reconfiguration of our sales team, which really positions us well for long-term growth. We continue to grow and adjust our sales organization and strategy. KPrime’s pedigree in scientific instrumentation for pharma, food, chemical and oil and gas customers as well as imaging systems for security applications is a perfect fit for us. And their service offerings have really enabled us to lead forward in building a fully capable boots-on-the-ground team to service OEM equipment and our own equipment in the U.S. and Canada, and we have plans to do so globally. I will circle back to this point in a moment. Soon after the KPrime closing, we were able to announce our collaboration and LOI resulting in a 43% ownership in Quad Systems AG, a Zurich-based nuclear magnetic resonance company focused on high-field NMR for pharmaceutical and other vertical markets. This acquisition and recent full system launch enables us to expand and move up market in the high field NMR space. Together with Quad, we have now formally started to compete for market share in the established $1 billion per year high-field NMR market, which is highly synergistic with our efforts to grow the burgeoning market for portable low-field NMR spectroscopy and eventually will be synergistic with our MRI aspirations. I can’t emphasize enough how excited we are to have this full system being presented in the marketplace. In May of 2022, we, in conjunction with KPrime won a 6-year $160 million service and maintenance contract with the Canadian Air Transportation Security Authority, CATSA, the Canadian version of the TSA, which includes a gradual phase-in period of approximately 1 year. This contract win is an example of how Nanalysis plus KPrime enables largest business opportunities and value creation for shareholders. Additionally, this contract is an instrumental step in simultaneously opening up the security vertical for our own products as well as adding material recurring revenue stream to our business. Security market is potentially a very important vertical for all of our products, including benchtop NMR and is consistent with our vision to have direct sales and service capabilities in every major market in the world. This also means for us as a company is that in addition to world-class R&D and manufacturing, we’re now a world-class equipment service provider. This contract has been a massive undertaking, not without hiccups, but overall is going well. As a reminder, the contract is for service and maintenance and security screening equipment at all Canada’s 81 airports. We are currently in 39 airports with full phase-in schedule for the rest to be completed later this year. The initial stages have been hiring and training, where we now have roughly 90% of the hires completed, which corresponds to about 107 people. Their required training sessions have been front-loaded and are done in coordination with the OEM equipment suppliers. This has taken some time and does weigh in on expenses. The second part is the credentialing. Even though we are working with federal agency CATSA, all field techs need to be credentialed at the local airports they will be servicing. This has been a bit of an obstacle, which has caused delays. We are now 10 months into this contract and feel very comfortable about where we are and the rollout of the last phases. We have been able to model the past few months well and have good visibility on how to get the project to cash flow profitability. Our client CATSA has been very happy with our work and the relationship. We have always said that we expect to expand this business in the security vertical globally as part of our growth plans going forward. And as a result of our work here, we continue to get referrals for similar contracts like this, smaller in scale, but also potentially in the future larger in scale. We do foresee that with full trained workforce, there will be the opportunity to utilize them on other additional projects. The timing and expenditures we have been incurring due to the roll out of this project was the main reason behind the recent capital raise, as Randall alluded to, to top up our balance sheet as we also explore restructuring of our debt facility to better match the CATSA project specifics. This contract is going to be profitable for us, give us stepped up annual revenue base going forward and provides us a large service organization that we will need and be able to leverage going forward. Keep in mind that this is initially a 5-year contract after the phase-in period, and it can be renewed for another 5 years as well. Turning to our core benchtop NMR business, we are happy to report high customer satisfaction with the most recent version of our 100 megahertz product, which we started shipping in August 2022 after the initial version that was shipping well before that. And we continue to evolve this technology in order to further differentiate our product in the competitive landscape. We’re also in the process of taking the tremendous R&D gains we achieved on the 100 megahertz and moving those gains into the 60 megahertz product as part of our hardware and software platform strategy. I am very proud of our R&D and manufacturing accomplishments in 2022. We invested in manufacturing to support growth for years to come. Some of the additions included Nanalysis purchasing a state-of-the-art 5-axis machining center and a wire electrical discharge or wire EDM machine. This has allowed us to significantly reduce manufacturing time on certain products, improve quality and accelerate R&D cycles. We continue to build velocity in our benchtop NMR sales organization, and there remains quite a bit of work to be done there. We persevered through some integration challenges experienced with the KPrime acquisition, made changes – continue to make changes that are for the long-term health of our sales organization. This evolution is critical to the success of our benchtop NMR business going forward. We continue to pursue several vertical market-centric partnerships in benchtop NMR that will contribute to future growth, including initiatives to create regulatory tailwinds for our products. Historically, benchtop NMR has not had regulatory drivers in the industry as is the case for other type of benchtop instruments such as infrared spectrometers and various chromatography techniques. NMR has been seen as too complex, expensive and physically too large for widespread adoption in industry. This is changing. Nanalysis is influencing this change. Our applications department is driving this initiative for us and I expect great things from this group in 2023 and 2024. and I expect great things from this group in 2023 and 2024. A key differentiating element of our product strategy is that we are leveraging the similarities and synergies associated with benchtop NMR, high-field NMR and MRI. Our teams work closely together to optimize our technology platform, IP portfolio and enable the launch of world-class products. On the medical imaging front, we had two important contract wins in 2022, and we will continue to drive this group towards our vision of one day disrupting the MRI space with a prevention centric application-specific product for human medical imaging, which will involve several technology and market partnerships that we are currently working on. In closing, I am very proud and excited for what we are building here at Nanalysis. We have assembled the pieces to succeed in our mission and vision, and we continue to progress towards becoming a fully vertically integrated global scientific instrumentation company. We will continue to serve our customers in the security pharma, biotech, food, energy, advanced materials, petrochemicals, healthcare and education markets with imaging and detecting products and services. Going forward, you will see us continue to advance our technology differentiation capabilities while managing supply chain risks. Since we went public in June of 2019, we have executed on the plan that we communicated to investors. This plan has entailed new products for acquisitions and a growing direct sales organization as well as a burgeoning services business. While the road has not been easy, we believe we have created tremendous intrinsic value. We are very optimistic about the next 5 years of our business and are committed to staying the course and overcoming any adversity we face. We continue to focus on improving our tactical execution, especially with regards to our sales organization, and we are prepared for any potential headwinds if recessionary fears in our industry manifest themselves. I would like to state that for the rest of 2023, we will not be providing quantitative financial guidance. While in the past, we have never provided formal financial guidance we have informally set quantitative expectations, but we’re going to take a break from this approach going forward as we digest the acquisitions we have made and the massive challenges we are undertaking. We continue to expect solid growth, and we must get our business to cash flow positive this year. Our forward-looking comments will be regarding the milestones we have endeavored to achieve, but we will not attempt to establish expectations for specific revenue or profitability numbers. Here are the high-level milestones for our company for 2023 and 2024, established vertical market partnerships for benchtop NMR that will contribute to revenue growth, make progress in creating regulatory tailwinds for our benchtop NMR products, debt to capital project to cash flow positive in the fall of 2023, acquire the remaining 57% of Quad Systems and leverage the synergies and cross-selling opportunities between high field and benchtop NMR, continue to make steady progress on our MRI strategy and position ourselves for an uplift to the TSX big board in Toronto, which we expect to initiate in 2024. Our entire team is working very hard every day with the primary objective of creating value for all of our shareholders who have invested their precious capital into our company, and we are all very appreciative of the support we’ve received from the new and old investors over the years. It has been a fabulous 10 years at Nanalysis, and I believe our next 10 years will be even better. With that, I would like to return the call over to the operator, who will open up the call for questions. Thank you very much.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Stefan Quenneville from Echelon Capital Markets. Your line is now open.
Stefan Quenneville: Hi, guys. Thanks for taking my question. My first question is a bit wonky. You just put out your numbers. And I’m still going through them, so I don’t have it in front of me. What was the growth rate of the benchtop business in Q4? I guess you aggregated the RS2D and the benchtop business.
Randall McRae: Sorry, Stefan. I’m not sure I’m following 100%. Did you say the gross revenue or are you looking for gross margin information?
Stefan Quenneville: Just growth rate like revenue growth.
Randall McRae: Growth revenue. So I’ll refer you to the segment note. The year-over-year growth in the Nanalysis segment is $15 million of revenue for the 12 months ended. And then 12 months ended in December ‘21 was 10.5%, 10.6%. So about a $5 million, 50% increase.
Stefan Quenneville: For the quarter?
Randall McRae: For the quarter?
Stefan Quenneville: What was that number?
Randall McRae: For the quarter, it was – well, our product sales were $6 million versus $5 million in the prior quarter. Prior year Q4, excuse me.
Stefan Quenneville: Okay. And my next question is sort of just maybe for Sean. For Quad Systems, right, I guess a lot has changed just broadly in the marketplace, probably in technology valuations as well since you did the first part of the deal, how are you thinking about the options you’ve negotiated and just – and the milestones that were expected with that business in terms of acquiring the balance or not acquiring the balance going forward? What’s the view there?
Sean Krakiwsky: Yes. So thanks very much for the question, Stefan. So our intentions haven’t changed. We still expect to be able to acquire the remaining 57% of the company. We will work very closely with them. We work together as very, very close partners with our teams embedded with each other. The valuation expectations that were set about 15 months ago, need to be recalibrated. Tech valuations worldwide have changed in the last 15 months. So right now, we’re in some very intense and sensitive negotiations with Quad Systems. But the intentions have not changed. We have succeeded at launching the full system. We did so at a very important NMR conference in Monterey, California last week where both teams shared a large suite together and gave demonstrations to the customers and so on, and it was very successful, a tremendous interest in our joint product. But yes, that’s how I would describe what our intentions are and also the status of the relationship.
Stefan Quenneville: Okay. Great. And can you also like walk me through just – you obviously did a financing. You’re talking to your bank about maybe changing terms to sort of manage the CATSA deal, which obviously, it’s a big project for a company of your size. It sounds like the process of getting people through sound like security clearance for the most part, which is what we talked about in the past, it’s taking longer than expected. It’s somewhat unsurprising given it’s got a – at Canadian airports over the last year or so. Can you just help me understand what you’re thinking about doing in terms of maybe renegotiating bank lines? And what’s sort of on the table or what you’re envisioning there?
Sean Krakiwsky: Yes. So we – go ahead if you’d like Randall.
Randall McRae: Yes, if I might jump in on that one, Stefan. I think at this stage, we’re just looking at various options that are available to us. Obviously, we’ve got an excellent facility right now with a major Canadian bank that’s been very useful for us in terms of making sure we can ramp up a project like this. Now, that’s just gotten a little bit further in the saddle, I’m looking at a variety of options. I think it’s too early in the game to really talk about what’s on the table, but just making sure that I’m reviewing our capital structure and that it’s properly aligned with the projects we’re taking on.
Stefan Quenneville: Okay. Fair enough. And maybe just another kind of like high-level question talking about the sort of three businesses, the base NMR business, CATSA and then sort of Quad Systems. In terms of the base NMR business, what you’re saying is that you feel that what’s going to drive that forward is sort of vertical partnerships. Maybe talk about how you’re approaching that and how that’s going. My sense, and I think maybe in the sense of most investors is, the CATSA contract is a bit of a situation with the dog caught the car kind of thing, and you guys have been really focused on that over the last sort of couple of quarters, getting that right and trying to wrap your arms around that. Maybe have you sort of taken your eye off the ball a bit on the benchtop NMR partnership side? And how is that looking, the sort of the base business. What’s going on there?
Sean Krakiwsky: Yes. Thanks for that question, Stefan, it’s Sean. So the approach we’re taking on the benchtop NMR partnerships is one working with vertical market-focused companies, companies that have been in petroleum, petrochemicals, food, pharmaceuticals for like 80 years or 60 years and they have deep customer relationships, and they are already providing them with analytical instruments and services of different types, and they want to take our product into those vertical markets. And the value add is in the form of brand, customer reputation and also, in some cases, software, domain-specific software. So we’ve got several irons in the fire there. As I sort of alluded to in the past, that’s one area of our business, namely those types of partnerships, but the pandemic did slow down big time. And so but they are coming back. So we’re really excited about that, and that’s a critical part of our growth for benchtop NMR going forward. And then as I sort of mentioned in the formal part of this discussion was our applications team works with regulatory bodies to establish standards so that benchtop NMR has to be used or is encouraged to be used for quality control and that kind of thing. It’s something that’s normal in the scientific instrumentation industry, but it hasn’t happened yet for NMR because they – up until now, they have been very large. So that’s an important growth driver. That’s kind of what I was referring to as creating a regulatory tailwinds so that people sort of have to use this kind of technology. And then, yes, in terms of the correlation with what we’re doing with CATSA, there is no question that CATSA to a significant extent has been something that has consumed management resources and cash. And there is certain of my teammates are completely isolated from CATSA, but then some of my other teammates are, in fact, involved in CATSA in a significant way. And so that’s one of the areas where, as CEO, I felt like I made a mistake last June in how I planned for CATSA. I think I have got a little too cute thinking I could sort of finesse it, both from a cash perspective and a management perspective, and I was wrong. And so the positive side of that, though, now is that we are 10 months into that, and the project is going very well today. So, even though the forecasts have moved to the right as it were, we feel really good about where they are going to be. And the reason why we took that risk, I didn’t have to accept that contract. I decided to accept that contract with my eyes wide open because I believe and believe today that once it’s up and running, it’s going to be a great source of cash to fund a lot of the exciting technology developments and partnership activities that we have got going in the rest of our business. So, that’s why we did it. And then the second reason why we did it is because for high-field NMR as we get bench-top into manufacturing facilities and also for MRI. For that to be successful and control your own destiny, you have to have sales – a service organization. So, that’s why we did it. But yes, I mean I wouldn’t use the language like we dropped the ball on it or anything like that, but I would use language of we underestimated it, and it has been a distraction, especially with regards to cash consumption and so on. So, thank you for the question.
Stefan Quenneville: Yes. And I am going to probe a bit deeper on it because I think people want to hear a bit more about this. And so it sounds to me like, obviously, this has been pushed back at least say, two quarters to get to cash flow breakeven. Is that fair to say?
Sean Krakiwsky: Yes, approximately.
Stefan Quenneville: Okay. But you are confident about that now? Like that’s a….
Sean Krakiwsky: I am confident of it because we have been tracking forecast for three months now. And so – and we mentioned at the beginning of the call that we are in roughly half the airports, but we have accomplished over 70% of the work. So basically, we are 70% of the way to where we want to be, and we have been successfully tracking our own forecast, which have been put together in conjunction with the customer. And the most important thing, especially in a giant contract like this is that the customer is very happy with us.
Stefan Quenneville: Yes. So, that’s the last point I wanted to talk about because that’s really what ultimately matters is a long-term contract, which if you kind of look through – again, the unsurprising bumpiness of a company of your size and of your DNA taking on. When you say they are happy with it, like can you validate that? Like what does that mean?
Sean Krakiwsky: Yes. So, we meet with the customer every single day and we interact with the customer even more than sort of during our formal meetings with them just throughout each day, right. Airports are 24/7 business. And they give us critiques all the time. And when they feel like we are falling short, they tell us and we improve and then they tell us that they are happy with what we are doing. And we know they are happy with us because they are referring us to other customers. In that particular business, one of the things that these regulatory authorities deal with is they don’t get treated very well by the large equipment manufacturers. And so when they see us being part of the solution rather than being part of the problem, that makes them happy and it makes them want to act as a reference to other customers not only in Canada, but in other parts of the world such as the United States. And all of these regulatory authorities in the developed world work very closely together. So, if you can make CATSA happy, a very good opportunity to make TSA happy. So, that’s what I mean by that.
Stefan Quenneville: Okay. That’s all for me guys. Thanks.
Sean Krakiwsky: Thanks Stefan. Appreciate it.
Operator: [Operator Instructions] Your next question comes from the line of Wolsey Leeds [ph], Private Investor. Your line is now open.
Unidentified Analyst: Hi. I was wondering what is the lead time to get a new CATSA contractor security clearance in an airport?
Sean Krakiwsky: First of all, this is Sean. I actually didn’t catch your name. Could you please restate your name and who you are with?
Unidentified Analyst: I am sorry. This is Wolsey Leeds, private investor.
Sean Krakiwsky: Okay. Thank you very much for that. Randall, would you like to answer a question about getting the reg passes and so on?
Randall McRae: Yes. Happy to, Randy here. So, it can vary widely. Earlier on in the rollout process, it became clear that it was going to be taking longer than we thought. And we saw some of the early ones taking up to 20 weeks. And as we have gone forward and as I think the approval authorities have come out of their post-CATSA, I will call it, a hangover, for lack of a better term. We started to see those lead times come down. So, we are now moving quite a bit faster than that and getting those security clearances through. I think the lion’s share of the delays happened earlier on in the project.
Unidentified Analyst: Okay. So, if you have to wait that long, are you paying an employee that’s unable to work during that period?
Randall McRae: In the earlier phases, yes. As we are going now, we are seeing that wait time come down into a much more manageable amount. Having said that, when an employee is waiting to start work, two things can happen, number one, there is quite a bit of training that our technicians have to go through to be certified to work on this type of equipment. So and you certainly don’t need the clearance to come through to get trained. So, it hasn’t been – it has been a delay at times, but we can optimize that employee’s time and not have them purely sitting on the sidelines. The second thing that can be done is there are ways to have people deploy to work even without their pass. Functionally, they need to be with another person on our team who has the full pass. So, there are opportunities for people to get to work even if they are still waiting for their clearance.
Unidentified Analyst: I see. Switching gears, do we have any milestones that we want to hit for Quad Systems in 2023?
Randall McRae: Sean, I will pass that one over to you.
Sean Krakiwsky: Well, we just hit our most important one, which is the launching of the full system. So, for those of you who maybe haven’t been following the Quad Systems details, the full system includes the electronics console, which is our – the main proprietary part that we provide, which is electronics and low-level software. It includes a superconducting magnet. It includes something called the probe, which is a sort of a 3-foot tall 11-inch diameter cylinder that goes in the superconducting magnets. It includes another module called the shim system and includes an auto sampler. And so we have successfully integrated all of those modules together in a complete system, which by the way is extremely complex. There is very few groups in the world that have the capability to do that. And so we unveiled that at the most prestigious Magnetic Resonance Conference in the world last week at Monterey, California. So, that’s the main milestone that we have been working on for a long time. The company is generating revenue with the individual modules because they can be sold separately, but up until recently haven’t been able to sell the whole system. So, we have got several exciting conferences that we will be attending the rest of the year, including one in Scotland. That is a big show for that industry. And there is some exciting probe technology also that that company has, which can – I believe, has the potential to disrupt that space, and it’s sort of confidential in nature, so I can’t really get into those details. Otherwise, the founder of Quad Systems might want to kill me. So, I won’t do that. But yes, and really what the rest of the year is going to be about is increasing revenue and getting that business to profitability as well.
Unidentified Analyst: Okay. Thank you. Going quite far into the future, if you end up with a partnership or you bring a medical MRI device to market, does that require a clinical trial?
Sean Krakiwsky: No. MRI is an established type of device, so it does require standard FDA approval, but it doesn’t require clinical trials at all. And maybe just give a little bit more color on that, our path and trajectory. So, we are very active right now on the science and technology side. And in order to get a product to market that will require acquisitions, at least one, but probably two. These are companies that we are working with right now. We have put a hold on – and I have stated this publicly, we put a hold on our acquisitions. We won’t be doing any more soon. But once we get on the other side of some of these challenges that I have talked about and the five major endeavors that we listed, we will resume. We will resume acquisitions, but not until the dilutive effects would be palatable to everybody on this call. And some of these companies that we are working with, for example, are companies that have provided key modules to GE, Siemens and Philips and other companies like that. So, they are companies that are run by very smart scientists that we feel can leapfrog us into that space. We won’t be competing with the very large systems. And as I always say, if you get a catastrophic car accident in the middle of the night, and get rushed to the hospital, you won’t go into one of the systems that we create, but we do believe we can create exciting human-based products that are only for the hand or only for the head or only for the pelvis and that are sort of connected to the cloud, driven by AI and that have a prevention centric nature of them. So, there is too many people in the healthcare industry that are making a lot of money by people getting sick, and part of our vision is to contribute to preventing people from getting sick. So, happy to answer any more sort of detailed questions you might have on what we are doing now with MRI technology, what the similarities are between MRI and NMR, but with acquisitions, with partnerships with companies that know that part of it, including the regulatory process, that’s how we will get to market with a product like that. We do sell – we do create, sell and maintain MRI systems right now.
Unidentified Analyst: Okay. Thank you so much Sean. That’s all my questions.
Sean Krakiwsky: My pleasure. Thank you.
Operator: There are no further questions at this time. Mr. Sean Krakiwsky, please continue.
Sean Krakiwsky: I would like to thank everybody on behalf of Randall, our CFO and our Board of Directors. I would like to thank everybody for participating on this call and for taking the time to answer questions. And I look forward to speaking with all of you in the near future. Thank you very much and have a wonderful evening.
Operator: Ladies and gentlemen, that does conclude today’s conference call. Thank you for your participation. You may now disconnect.